Operator: Ladies and gentlemen, thank you for standing by, and good evening. Thank you for joining Sohu's Fourth Quarter 2011 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the management's prepared remarks, there will be a Q&A session. Please limit yourself to one question and then you can rejoin the queue. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's call, Tip Fleming from Christensen. Please go ahead, sir.
Tip Fleming: Thank you, Operator. And thank you for joining us today to discuss Sohu.com's fourth quarter 2011 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; Co-President and Chief Operating Officer, Belinda Wang; Co-President and Chief Financial Officer, Carol Yu. Also with us from Changyou are President and Chief Operating Officer, Dewen Chen; Chief Financial Officer, Alex Ho; as well as CEO of Sogou, Xiaochuan Wang; Vice President of Sohu and CEO of Sohu Video, Ye Deng. Before management begins their prepared remarks, I would like to remind you of the company's Safe Harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections, and therefore, you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statement. For more information about the potential risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including its registration statement and most recent annual report on Form 10-K. Now, let me turn the call over to Dr. Charles Zhang, the Chairman and CEO. Charles, please proceed.
Dr. Charles Zhang: Thank you. Hello, everyone. We are pleased to report a strong fourth quarter that helped us finished a solid year for 2011. For online advertising, our conscientious efforts in growing online video and search businesses are bringing strong growth in revenues, users and traffic. These businesses along with our portal business are contributing to give the Sohu Group a powerful integrated online marketing platform. In 2012, we aim to make this platform even more dominant in China's internet market. For online gaming business in 2011, Changyou achieved a healthy growth in its MMO game portfolio and diversified into other fast growing areas such as Web-based games. In 2012, with our leading game information portal 17173.com under its leadership, Changyou will jumpstart a platform based initiative. Now, I would like to share some fourth quarter financial highlights with you. Total revenue were US$246 million, up 42% year-over-year and 6% quarter-over-quarter. Net brand advertising revenue were $78 million, up 29% year-over-year and in line with our prior guidance. Sogou revenues were $23 million, exceeding our guidance of $21 million. This was 248% year-over-year and 25% quarter-over-quarter growth. Online games revenue were $123 million, up 34% year-over-year and 6% quarter-over-quarter. Non-GAAP diluted EPS were also ahead of our expectations at $1.36, compared with a $1.23 in the fourth quarter of 2010. For the full year 2011, total revenues were US$852 million, up 39% year-over-year. Net brand advertising revenues were US$279 million, up 32% year-over-year. Sogou revenues were $63 million, up $238% year-over-year. Online games revenue were $436 million, up 33% year-over-year. Non-GAAP diluted EPS reached $4.96, up 18% year-over-year. Now, let me discuss our online video business in more detail. In 2011, Sogou videos content was envy of the industry, offering users 21 out of 30 most watched primetime TV dramas, as measured by CSM Media Research. Our compelling content offering and aggressive marketing efforts helped Sogou video to consistently expand its audience reach and secure first-year group position in the market. According to comScore, in December 2011, monthly unique visitors and number of video viewed increased by 23% and 10% from September, respectively. Advertising revenue from Sohu video for the full year 2011 grew by 120% from 2010. Looking forward to 2012, we're thrilled to have one of the strongest TV drama pipeline in the industry. None of the dramas in our exclusive pipeline have been impacted by a new government regulation which prohibits the broadcast of historical theme of TV dramas during primetime hours on satellite TV stations. And thanks to our expertise in content selection, the TV drama series that are we secured have been recognized by other industry players. Beside -- because of this success, we are at liberty to further high-quality programs from other players or to do sublicensing transactions with them. Having said that, given the fact that some of the dramas in our pipeline were acquired after content prices escalation during the second half of 2011, we inevitably face short-term financial pressure, this is especially the case for this coming first quarter when it is a slow season for the advertising business. We expect content prices to stabilize going forward. On top of the long-term content -- on top of the long-form content, in 2012 we'll also strengthen our capacity to deliver more short-form programs, such as news and the variety shows, and the user-generated content. In conclusion, with a growing number of viewers on online video, advertisers will gradually shift more of their marketing budgets into this area. Because of this, online video business remains highly promising in our view. Sohu video, although faced with some short-term financial pressure is well-equipped with our extensive experience in the media industry and our strong financial resources, and will win a position in the top-tier group. Moving over to our Sogou business. In the fourth quarter, we saw a success in our strategy of adding new product features weekly by -- week by week. We upgraded Sogou browser to 3.1 version that improved the product's overall performance by 20% to 30%. We also integrated several kinds of vertical search engines, such as merchandise, real estate, micro-blog and novels, and others into Sogou's search results, that enhanced the relevance and commonness. These new products' functionalities were well-received by internet users. Sogou browser's daily active users reached 33 million by December, up 14% over the three months period according to our research. And Sogou's search moved up to second place in China's online search market in terms of traffic according to CNVV. The outstanding results of Sogou in 2011 demonstrated the effectiveness of our strategy to unleash the combined strength of our three core products, Pinyin, Browser and Search. In 2012, we'll continue to push this strategy and rollout other major initiatives such as the mobile internet search. Moving on, let me discuss our online game business. Changyou continued to enjoy growth in MMO games. Our leading game franchise, Tian Long Ba Bu, TLBB, continued to gain popularity and grow users. During 2011 tremendous demand of loyal fan base through upgrades and expansion packs. For Duke of Mount Deer or DMD, we are working on features to draw more casual players to the game. Changyou also prides itself for its successful diversification into other fast-growing segments of online game space, such as Web-based game. DDTank, the flagship game of our new subsidiary 7Road continues to be one of the top-ranked Web-based games on game portals and social networking sites in China. In late 2011, Changyou jump started its platform-based strategy with the acquisition of 17173. It plans to invest in 17173 to make it even more user friendly by adding services and access through a variety of games designed for different platforms and user communities. 17173 will be both a brand builder and a building block to developing Changyou's platform business, offering a one-stop shop for games of all types, which will help to deepen and expand Changyou's online community. Now, let me turn to Belinda to discuss our online business. Belinda?
Belinda Wang: Thank you, Charles. I'm pleased to report that we had a solid quarter and a strong year in our brand advertising business. In 2011, the Internet population exceeded 500 million in China and we witnessed a continuing trend, while marketing spending by brand advertisers has been shifting from offline to online. Brand ad revenues for the fourth quarter reached a record high, up 29% year-over-year. For easiest comparison with our peers, our gross brand advertising revenue before business tax was US$85 million, and net brand advertising revenue was US$78 million. In the fourth quarter, FMCG and online games were the fastest growing sectors. For 2012, we expect advertisers to shift more of their budgets from traditional TV to online video. One of our top priorities is to deploy ways to capture this trend and to further monetize our vast user traffic. To accelerate revenue growth, we will actually utilize CPM-based model to target a broader array of advertisers. Looking out to the first quarter of 2012, we saw typical slow seasonality. The earlier than usual Chinese New Year gave us less time than previous year to get orders from advertisers. Carol will provide more details on the first quarter guidance. For the first quarter of 2012, we are expecting first brand advertising revenue before business tax to be between US$66 million and US$69 million, net brand advertising revenue to be between US$60 million and US$63 million implying a 5% to 10% year-on-year growth. Now, I'll turn the call to Carol who will walk you through the quarter's financials.
Carol Yu: Thank you, Belinda, and hello, everyone. I will now take you through our financials for the fourth quarter. One, revenues, total revenues were $246 million, up 42% year-on-year and 6% quarter-over-quarter. This was a new record and at the high end of our prior guidance. Brand advertising revenues were $78 million, up 29% year-over-year and 2% quarter-over-quarter. Sogou revenues were $23 million, up 248% year-over-year and 25% quarter-over-quarter, of this search revenue was $18 million and advertising revenue from our homepage was $5 million. For the fourth quarter, the number of search customers and the average spending per customer increased by 71% and 57% year-over-year. Online game revenues were $123 million, up 34% year-over-year and 6% quarter-over-quarter. Wireless revenues were $14 million, a year-over-year increase of 1% and quarter-over-quarter increase of 2%. Now, let me provide some more details about our other financials. From now on, most of the figures discussed will be non-GAAP. Beginning in the fourth quarter of 2011, the company revised its non-GAAP reporting methodology to exclude income from reversal of contingent consideration, goodwill impairment, impairment of intangibles via our acquisitions of businesses and related tax impact, in addition to historical prices of excluding share-based awards from non-GAAP results. We believe excluding such items from our non-GAAP financial measures and net income makes a more meaningful comparison of Sohu's operational results and improve investors' understanding of our performance. So, we will also use non-GAAP measures in the following discussion to explain margin, cost and expense items. As a reminder, you can find a reconciliation of these non-GAAP measures in our official earning release. Two, gross margins, non-GAAP gross margin for the quarter was 71%, compared with 71% in the previous quarter and 75% for the same period last year. Three, operating expenses, non-GAAP operating expenses for the fourth quarter totaled $95 million, which was an increase of 8% from the previous quarter and an increase of 70% from the same period last year. Under U.S. GAAP for the fourth quarter of 2011, operating expense totaled $127 million, which included a $27.5 million non-cash charges relating to goodwill impairment and impairment of intangibles via acquisitions of businesses. The charges are mainly related to Sohu's wireless and Changyou's cinema advertising businesses. Four, operating margins, non-GAAP operating margin was 33%, compared with 33% last quarter and 43% from the same period of last year. Five, income tax expense, for the fourth quarter of 2011, GAAP income tax expense was $11 million. Excluding a non-cash income tax expense of $1.6 million recorded for tax benefits from share-based awards and deferred tax liability impact on goodwill and acquired intangibles while acquisition of businesses impairment of $1 million. Non-GAAP income tax expense was $10 million, compared with $14 million in the previous quarter. Starting 2012, one of Sohu's China-based subsidiaries, Beijing Sohu New Media Information Technology is subject to a 15% income tax rate for the next two years versus 7.5% in 2011. Six, net income, before deducting the share of net income pertaining to the non-controlling interest, non-GAAP net income was $77 million. Non-GAAP net income attributable to Sohu.com, Inc. was $53 million or $1.36 per fully diluted share, which was ahead of our expectations. Seven, net margin, non-GAAP net margin before deducting the share of net income pertaining to the non-controlling interest were 31%, compared with 30% last quarter and 37% in the same period of 2010. Eight, moving on to the balance sheet and cash flow statement. For the fourth quarter, we generated close to $140 million in operating cash flow of which Changyou generated $72 million, while other business units generated $42 million. As of December 31, 2011, our cash balance was $733 million. As of December 31, 2011, our net accounts receivable was $87 million, compared with $99 million at the end of the third of 2011. Brand advertising DSO for the fourth quarter was 58 days, compared with 64 days in the previous quarter and 66 days in the fourth quarter of 2010. Nine, our outlook for the first quarter of 2012 is as follows. We are expecting total revenues up between $219 million and $225 million, brand ad revenues including those from 17173 to be between $60 million and $63 million. This implies a sequential decrease of 19% to 23% and an increase of 5% to 10% on a year-over-year basis. The main factors that contribute to the sequential decline in brand ad revenues are, one, slow seasonality and Chinese New Year impact, as Belinda explained earlier. Two, 17173 revenue is expected to be between $7 million and $8 million, a decline of $4 million to $5 million from the fourth quarter. This is mainly because, A, the first quarter is a seasonally slow quarter for online gaming advertising and B, the early Chinese New Year holiday in 2012 has resulted in advertisers to either accelerate the launch dates of new games to fourth quarter of 2011 or to push back to the second quarter of 2012. Sogou revenues to be around $21 million. This implies sequential decline of about 9%, again due to seasonality and represents annual growth of about $163 million, online games to be between $121 million to $124 million. Before deducting the share of non-GAAP net income pertaining to the non-controlling interest, non-GAAP net income to be between $38 million to $41 million. Non-GAAP net income attributable to Sohu.com, Inc. to be between $19.5 million and $21.5 million, and non-GAAP fully diluted earnings per share to be between US$0.50 to US$0.55. The decrease in forecasted non-GAAP net income is due to lower revenue from the advertising businesses and an increase of about $7 million cost relating to video content and other expenses. Assuming no new grant of share-based awards, we estimate that compensation expenses and income tax expenses relating to share-based awards to be around $3 million to $4 million. The estimated impact of this expense is expected to reduce Sohu fully diluted earnings per share for the first quarter of 2012 under U.S. GAAP by US$0.08 to US$0.10. In conclusion, our increased investment in online video and other areas coupled with slow seasonality, no doubt will put weight on our short-term financial results. Nonetheless, with a strong foothold we achieved in 2011 for both online advertising and online games, I’m optimistic that we will build an even stronger Sohu in 2012 and the years ahead. This concludes our prepared remarks. Thank you for joining the call today. Operator, we would now like to open the call to questions.
Operator: Thank you. (Operator Instructions) Your first question comes from Dick Wei of JP Morgan.
Dick Wei – JP Morgan: Hi. Thank you for taking my questions. My question is on advertising. If I look at your Q1 guidance, if I strip out the $173 revenue, brand ad revenue is still down around 18% sequentially which is weaker than a normal seasonality. I wonder if you can give us some more color maybe by industry, maybe with FMCG, et cetera or maybe by video, non-video, what's the outlook for Q1? As well as for the full year what would -- what's your investor be looking at for the full-year advertising growth? Thank you.
Carol Yu: Dick. Hello? Hello, Dick?
Operator: One moment. Go ahead, sir.
Dick Wei – JP Morgan: Hi, Carol.
Carol Yu: Dick, can you repeat the first part of the question slowly. The line is cutting in and out.
Dick Wei – JP Morgan: Yeah. If I strip out $173 million revenue, brand ad revenue is still down 18% quarter-over-quarter. So, could you give us some more color on why it's weaker than historic seasonality and then also the full year ad outlook? Thank you.
Dr. Charles Zhang: Down to 18%, what?
Carol Yu: Yeah.
Dr. Charles Zhang: Add some color to the seasonality? Well, this year's Spring Festival is in [Audio Gap] is the impact revenue is larger than previous first quarter. Normally, Spring Festival happen in February where January is the month of work and also decision making, but this year it's different.
Belinda Wang: Yeah. Just as Charles mentioned, because of this, the first quarter is seasonally a slow quarter and this year we got earlier Chinese Lunar New Year. So...
Dr. Charles Zhang : Just listen to the people in the U.S., if you listen from the windows you’ll see the fireworks still going on today. We are still officially at the Spring Festival period and also the overall...
Belinda Wang: Yeah. Also, Dick, in response to your second question, I think for the full year, the macroeconomy -- we are not so optimistic about macroeconomy. But as the Chinese internet population has reached to 500 million, we still see a steady advertising revenue growth for the year of 2012. In specific, I think the standing at this point we still cannot be clear --about clear -- about the overall picture for the automobile industry because last year is a slow year for automobile industry and this year we still got the clear picture about there yet. But because of the -- at the same time, because of the high growth for the online video, we have seen a strong growth on FMCG industry sector. It's just so early to predict the growth rate for the full year, so we can discuss it later in the -- maybe I don't know, later period.
Operator: And your next question comes from the line of Alicia Yap of Barclays Capital.
Alicia Yap – Barclays Capital: Hi. Good evening. Thanks for taking my questions. So, I wanted to follow-up on some of the verticals trend. So you mentioned FMCG and online games contribute to the growth of fourth quarter and if we look at Changyou number 17173 actually grew about 65% in the fourth quarter, but the overall portal only grew 29%. So, can you just give a little bit more colors on, for example, like the real estate and the auto in the fourth quarter and can you disclose video business growth in the fourth quarter?
Carol Yu: Video revenue growth is around 100% and for the other vertical industry sector as you mentioned is...
Operator: And your next question comes from the line of...
Dr. Charles Zhang: Hello?
Operator: Your next question comes from the line of Eddie Leung of Merrill Lynch.
Dr. Charles Zhang: I haven't...
Carol Yu: Excuse me. Operator, we haven't answered the previous question.
Operator: Okay.
Dr. Charles Zhang: So the Sohu video, the 2011 overall the whole year grew by 120% actually and first quarter is similar and the real estate…
Carol Yu: Normal.
Dr. Charles Zhang: Real estate.
Carol Yu: For the first quarter, the auto revenue are combined with the real estate revenue accounted for about 50% of our total earnings.
Dr. Charles Zhang: Yeah. The first quarter -- first quarter real estate verticals -- verticals real estate, gross revenue.
Carol Yu: Financial gross rate?
Dr. Charles Zhang: Yeah. So we didn't give out the gross rate from verticals. But we do know that video grew by -- the overall -- the whole year video grew by 120%.
Tip Fleming: Next question?
Operator: Your next question comes from the line of Eddie Leung of Merrill Lynch.
Eddie Leung – Merrill Lynch: Good evening. Thank you for taking my questions. Just one question. Could you guys, how much to understand more about the potential competition for user traffic as far as advertising projects between video and traditional been as of the portal? Thanks.
Dr. Charles Zhang : You mean traffic or and better advertising, both?
Eddie Leung – Merrill Lynch: Yeah. Both the competition...
Carol Yu: Competition for advertising dollars between video and traditional portal advertising, and what's the other parameter other than and traffic, right?
Eddie Leung – Merrill Lynch: User traffic.
Carol Yu: So traffic and advertising dollars.
Eddie Leung – Merrill Lynch: Yeah.
Carol Yu: Okay. Thank you. [Foreign Language]
Dr. Charles Zhang : I think that in a Sohu case, with the portal and video, it's actually reinforced each other because people actually are coming through Sohu portal for news and different content, information. At the same time, they will see a lot of videos either long clips or short clips. So, it's actually helping each other. That's actually the competitive advantage of Sohu video versus other vertical video players. So it's not really -- it's actually increasing the type of activities of users on the Sohu platform rather than competing for traffic. The second question is about the competition -- competing for advertiser, right, the portal advertiser?
Belinda Wang: I think we can see the different advertisers pursue the different platform. For example, we see heavy portal for the portal platform. It comes from the ultimate build industry and the real estate industry and even financial industry. We can see FMCG the major driver for the online video advertising business. So we can see the industry difference for these two different platforms.
Dr. Charles Zhang : So, there is, yeah, (inaudible). And also, there's actually not a lot of the new advertisers coming from traditional television.
Belinda Wang: Yeah.
Dr. Charles Zhang: That didn't do online advertising before, especially -- actually helped by recent government regulation about forbidden -- prohibiting the broadcasting and advertising on primetime hour of TV stations.
Eddie Leung – Merrill Lynch: Understood. I will go back to the queue. Thank you.
Belinda Wang: Thank you.
Operator: Your next question comes from the line of Yu-Heng Fan of Morgan Stanley.
Yu-Heng Fan – Morgan Stanley: Hi. Good evening. Thank you for taking my question. My question is related to London Olympics. So, based on your historical experience, how much upselling growth are you expecting from this event for your brand advertising business?
Carol Yu: Actually, we have structured the 2012 Olympic Games report plan and we have just launched the sales keys for the 2012 Olympic Games. So far we haven't received a great amount of the deals from the advertisers yet. But I think Olympic Games will be a very important event in terms of driving the advertising revenue in the third quarter.
Yu-Heng Fan – Morgan Stanley: It's too early, too early to.
Carol Yu: Yeah. It's still too early to predict the exact amount.
Belinda Wang: But as one can imagine, the impact of the 2012 London Olympics will be a lot smaller both in terms of its influence in China, as well as its advertising dollars impact on us. It would be a lot smaller than the 2008 Beijing Olympics.
Yu-Heng Fan – Morgan Stanley: So, just quick follow-up. How will that compare to the 2004 Olympics, would that...
Dr. Charles Zhang: 2008?
Carol Yu: I would say that it's very difficult too because eight years have passed and complete landscape in the China internet space and the advertising space have changed. So I don't think there's any comparable -- it's completely non-comparable right now.
Dr. Charles Zhang: We're talking about totally different user base, different order magnitude of users.
Carol Yu: And our advertising base and our advertising client base, everything is so different.
Operator: Okay. Your next question comes from the line of Wallace Cheung of Credit Suisse.
Wallace Cheung – Credit Suisse: Hi. Thanks. Thanks for taking my questions and [Foreign Language].
Dr. Charles Zhang: Thank you.
Wallace Cheung – Credit Suisse: One major question is on the online video space. As we are seeing there's so many online video sites, obviously, Sohu is one of the leading player in this space. But obviously, the competition on the content and users traffic is still very severe. There are a lot of talks about financial partnership and consolidation. How would Charles to see the market to evolve, say, in particular this year, we'll so far be interested in participating in any form of partnership and consolidation, and the kind of like the timing of it as well? Thank you.
Dr. Charles Zhang: I think, in 2011 we achieved pretty good growth success in terms of unique visitors, the number of unique visitors and also video viewers, that we are now already the second place in this space. So we are very confident that going forward with our, first of all the inclusive and very high-quality long clips TV drama content and also a fast-growing witness -- a news witness clips -- news witness short clips and also user-generated content growth. So, we are and also, when people come to Sohu, the platform for news every day, they will see Sohu video rather than people thinking about video typical of other players. So we are confident that by standalone company Sohu video will be able to compete and to be in the first tier group. In terms of consolidation, we are not seeing -- we are not talking, doing any deals or talking to anybody about the consolidation. And also, it's almost like characteristic of Chinese internet space that consolidation doesn't happen that early, that easy. If you look at the past 10 years, all these major portals or players, there are not much consolidation happening unlike -- very unlike the U.S. counterparts, because of all kind of reasons and the egos of entrepreneurs or protection of employee and talents, retention, all those kind of issues are preventing consolidation happening either.
Wallace Cheung – Credit Suisse: Thank you very much. I'll go back to the queue.
Belinda Wang: Thanks. Thank you, Wallace.
Operator: Your next question comes from the line of Jiong Shao of Macquarie.
Jiong Shao – Macquarie: Thank you very much. First, I want to clarify that the sale of 17173 from Sohu to Changyou, does that affect the P&L sort of the calculation at all whatsoever? And my question is on video also, because it's the increasing importance of video, it just would be very helpful to us analysts and to investors if you can share with us the revenue contribution from video for Q4 and then what's your expectation in terms of the decline due to seasonality in Q1? Thank you.
Dr. Charles Zhang: The calculation (inaudible).
Carol Yu: I will take your first part of the question. When you say, well, to start with, the sale has been completed. Cash and ownership change -- 17173 change then between Sohu and Changyou. So when you say affect the P&L, what exactly are you referring to? Do you mean Q4 or Q1?
Jiong Shao – Macquarie: Yeah. Since Changyou, you own majority of Changyou anyway, so when everything consolidated back together, are we sort of back to zero, no really impact for your consolidated P&L because of this transaction at all?
Carol Yu: Okay. In the Q4, it's 100% consolidated, because we still own 100% of 17173 directly at Sohu level. Starting January 1, 2012, Chang -- we will consolidate 17173 to Changyou. So we will book NCI at the same percentage as we booked NCI at Changyou.
Dr. Charles Zhang : Let me answer the second question, about -- let me tell you about the 2011 overall -- the whole year, the Sohu video business advertising. The number is RMB370 million for the video -- Sohu video online advertising and we grow by 170%. And looking into 2012, we are looking at…
Carol Yu: Double.
Dr. Charles Zhang: … double that.
Operator: Okay. Your next question comes from the line of Catherine Leung of Goldman Sachs.
Catherine Leung – Goldman Sachs: Hi. You mentioned very significant video cost inflation in the second half of last year. So I'm just wondering, was there much premium content that you had refrained from acquiring during that costly period and are thus planning to acquire in 2012, and should we expect the associated cost should accelerate growth in the latter half of this year? Thank you.
Dr. Charles Zhang : During that period of acquisition of content, we basically secure most -- of the most claim big hit TV dramas that are going to be starting to broadcast starting Q1 and Q2. And that -- and then this -- that gave us -- there's a new trend when the other players also had some other exclusive rights for some other TV dramas that players start to doing barter -- bartering. So we are in a very good position to do bartering with our -- are owning all those titles to do good bartering so that we have expensive provision -- library of good TV dramas. That means we -- the overall -- the cost hike basically has been slowing down. People are willing to share and barter and so you will see a cap of common spending in 2012, additional spending. But the previous purchase that the amortization or the cost will hit going forward in 2012.
Operator: Okay. Your next question comes from the line of Gary Ngan of UBS.
Gary Ngan – UBS: Good evening, everyone. Thanks for taking my question. Just to -- there's one question on advertising and video. So when you mentioned that the advertising, I mean, this Chinese New Year came earlier this year and therefore the guidance is weaker. Do you mean that because it came earlier so we don't have enough data to give out a guidance and based on the less than expected data, therefore the company is being more conservative in the guidance or do you think this is what Q1 is likely to play out given, already considering Chinese New Year is early than normal? And then on the video part, I want to ask...
Belinda Wang: Let me, can I take that question first?
Gary Ngan – UBS: Sure. Sure.
Carol Yu: Okay. Let me just put things into perspective. Chinese New Year, the first day of Chinese New Year came on January 23rd. People just typically talk of about week earlier. So we have -- before Chinese New Year about two weeks to work on our advertisers to get orders from them. And now today, March, a lot of people or some people at least only come back to work tomorrow which is after the 15th day of the Lunar New Year. So, you are right in a sense that, yeah, we have very good data points. And based on whatever data points that we have with us as of now, we are giving out the guidance that we're giving out today. We cannot tell whether it's more conservative or not because this is all the data points that we have as of now. So, this is what we can share. As Belinda has said, macroeconomics is not as optimistic as we wanted to be for 2012. You can see that from the CCTV option, that's the best indicator you can find. But the offsetting good news is we are seeing -- the dominance of internet within the entire media, so advertising space is getting more important. So we're seeing a lot of these offsetting factors and given only the fact that we only have about few weeks before we have to give out the number that we have to give out today, this is what the best we can do. Thank you.
Gary Ngan – UBS: Thanks. That's very, very helpful. So it actually brings to the second part of the question. It's related to the video advertising outlook. So Dr. Zhang mentioned that there's positive impact from the regulations tightening last year. So, do you expect the market to actually see an accelerated growth this year overall in percentage term, so i.e. it could actually grow faster than 120% this year?
Dr. Charles Zhang : Well, there's some positive impact because of the TV stations' prohibition of primetime advertising. But the effect is not -- it's hard to predict. It's not clear. As I've said, we're going to grow by 100%, I mean doubled, the total video advertising will be double this year, I mean, 2011's number. But it's still too early to tell for the whole year -- for 2012.
Carol Yu: We can only share with you that our view is definitely positive in the long-term, but whether it will kick in, when it would kick in, whether it would accelerate this quarter or next quarter's earnings, we don't have enough data points to share at this present moment.
Gary Ngan – UBS: I see. Thank you very much.
Operator: You next, okay. At this time, I would like to thank everyone and turn the call back over to management for closing remark.
Tip Fleming: Thank you everyone for joining the call today. If you have any further questions, please don't hesitate to contact the company or questions in directly. Thank you.
Operator: Thank you again for participating in the conference call. You may now disconnect.